Operator: Thank you for standing by. This is the conference operator. Welcome to the Nexus REIT 2021 Fourth Quarter Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Kelly Hanczyk, Chief Executive Officer. Please go ahead sir.
Kelly Hanczyk: Thank you. I'd like to welcome everyone to the 2021 full year and fourth quarter results conference call for Nexus Industrial REIT. Joining me today is Robert Chiasson, Chief Financial Officer of the REIT. Before we begin, I'd like to caution with regard to forward-looking statements and non-GAAP measures. Certain statements made during this conference call may constitute forward-looking statements which reflect the REIT's current expectations and projections about future results. Also during this call, we will be discussing non-GAAP measures. Please refer to our MD&A and the REIT's other securities filings which can be found at sedar.com for cautions regarding forward-looking information and for information about non-GAAP measures. So, 2021 was a defining year for the REIT. We continue to successfully execute on our strategy of becoming Canada's next pure-play industrial REIT, which culminated in a recent name change as of March 7th to Nexus Industrial REIT, which is a name that better defines our strategy and objectives moving forward. In the fourth quarter, we closed on approximately $416 million of industrial acquisitions, with strong covenants, such as Loblaws, Sobeys and MRC Global. The blended cap rate for these acquisitions was approximately 5.13%. For the year, our acquisitions totaled $674 million at a cap rate of approximately 5.7%. As we look forward to 2022, we continue to be focused on growing our platform in deploying the capital raise in 2021. We have closed on an additional 10 high-quality industrial buildings, totaling $236.5 million at a blended cap rate of approximately 5.12% in the first quarter of 2022.  In addition, we are under contract for two additional properties, a brand new build strong covenant distribution center in Ottawa, and one in London, which is in the process of having 150,000 square foot new edition being built. These two properties totaled approximately $167 million, and they're expected to close hopefully in January and April of next year. As you can see, we continue to have a very active pipeline of deal flow, and we have the liquidity to be able to execute on a significant amount of additional industrial transactions throughout the balance of this year. Our occupancy for the fourth quarter was up slightly from last quarter. In the industrial portfolio, our vacancy continues to be mainly a 25,000 square foot industrial space at 41 Royal Vista Drive in Calgary. A new lease deal that was scheduled to commence in January has been slow to transpire and we're waiting for permitting. So, we're hopeful that the deal we had agreed to in principle is successfully completed, but in the interim, we've begun to remarket the space. In Richmond BC, we continue with the redevelopment of an approximately 60,000 square foot building for two tenants. Unfortunately, timelines continue to get expand from what we originally anticipated as the developer continues to run into some supply chain issues. Approximately half of the building will be effectively a brand new structure as the previously structured was demolished and rebuilt from scratch. Both tenants rent will commence once they take possession of the space. While delayed again, it is expected completion and possession to occur sometime in July of this year, that's what I'm hopeful for. As mentioned previously, it's fairly important to because upon completion, our NOI will increase by approximately $165,000 per month. In Montreal, we continue to work with the developer on the sale of some excess land at Les Galeries d'Anjou. The developer is moving along with their approvals from the city, but is much slower than they originally anticipated. So that looks like now as we expected a closing of the transaction towards the end of the year, which will allow us to realize our first payment for the developer. In our recently acquired London portfolio, 2022 should be a solid year for renewals and new leasing. We have approximately 345,000 square feet expiring throughout the year and expect renewals and new deals to create approximately $1 to $2 per square foot in increased rental rates. We're currently finalizing permit drawings for an approximately 1000 square foot edition to our existing building at 1285 Hubrey that we will build on spec and are also working on another deal with an existing tenant, which would expand them by approximately 35,000 square feet. Vacancy in London continues to be an all time low. And the fundamentals in the new markets remain really strong. On the disposition front, we have two of our suburban Montreal office properties currently under due diligence by a purchaser, one more suburban office, a mixed office retail and a single tenant retail property currently in a marketed process. So, we expect bids by the end of the month. In addition, our retail mall in Victoria will be launched for sale by the end of the month. And we are also in the process of a portfolio review identifying non-core assets that we may dispose of throughout the year and continue with our evolution of high grading of the portfolio. I'll now hand it over to Rob to give greater detail of the REIT's financials.
Robert Chiasson: Thanks Kelly. As Kelly mentioned, we've been busy deploying capital raise throughout 2001 -- or sorry, 2021 and 2022. On November 22nd, we completed $148 million bought deal equity financing, part of the proceeds of which were used to acquire to the Sobeys distribution center on December 9th. However, we ended the year with $83 million of cash on the balance sheet available to deploy on acquisitions. We'll see acquisitions completed in the first quarter of 2022 contribute to increasing our FFO and AFFO per unit and decreasing our payout ratio. Q4 FFO and AFFO were impacted by an approximately $1000 early repayment fee for debt on a retail property, which was sold in November. We've revalued our portfolio in the quarter, seeing fair value increases primarily in our industrial portfolio. We also had a small fair value adjustment of our retail properties where we took COVID-related valuation allowances in 2220, which were partially reversed in the fourth quarter of 2021 as the impact of COVID on our retail tenants has dwindled. Same-store NOI was up approximately $50,000 in the fourth quarter as compared to the third quarter, primarily due to percentage rents and up $200,000 over Q4 2020, primarily due to steps and rents. As Kelly mentioned, we continue to have a 25,000 square foot vacancy in Calgary industrial property. Upon leasing this space, we'll see a boost to NOI, also upon the completion of the Richmond BC property repurposing we learn approximately $1.9 million a year of rents and NOI. G&A expense was higher in Q4 as compared to Q3 primarily do to increase staffing costs, including bonus accrual true ups. I'll now turn the call back to Kelly.
Kelly Hanczyk: Thanks Rob. I'll pass it over to the operator to answer any questions that you might have.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Fred Blondeau with Laurentian Bank Securities. Please go ahead.
Frederic Blondeau: Thank you, and good morning. Just on the balance sheet, Rob, how do you feel with the 41% debt to GBV, when considering the acquisition pipeline, but also those intensification opportunities that you guys are currently seeing?
Robert Chiasson: Yeah. So, we do have a number of unencumbered properties, and we completed a number of acquisitions in the first quarter of 2022. I think that we'll see the debt-to-total assets increase a bit, probably upwards of about 45% by the end of the first quarter. And we still have the capacity to do probably -- I don't know, about $100 million to $150 million of acquisitions in addition to the two properties that we have under PSA to close in 2023.
Frederic Blondeau: That’s great.
Kelly Hanczyk: One of those acquisitions, just keep in mind, the London acquisition is a unit deal.
Frederic Blondeau: Right. Okay. Got it. And then while I got your attention, Rob, your G&A expense was a bit higher than our estimate. What would be for Q4 -- what would be a good run rate from here?
Robert Chiasson: Yeah. So, Q4 had some true-ups. I would say that a run rate in around 1.7.
Frederic Blondeau: Got it.
Robert Chiasson: Yeah. 1.6 would probably be a good number.
Frederic Blondeau: Perfect. And then maybe one for Kelly, just on those intensification opportunities. What are your views on expected yield on costs? I guess, especially your views on cost per se? And what would be your expected overall budget for those at this stage?
Kelly Hanczyk: Yeah. So, the 100,000 spec that we would do is probably about $120 foot, I think, is our preliminary costing. It actually came in a little lower, but I'm just using that number. So, I would expect somewhere between 7% return on that, maybe 7.5%. Our -- the expansion that we are looking at with one tenant, that would be at a slightly higher return for there. So, those are two right away that we'll look to hopefully commence this year, at least permitting and all the process that goes around it. It's kind of interesting when I look at the portfolio as a whole, we have in 1000 Clarke Road in London, where we have 16 acres of land there that has to go through a little bit of a process with the city. But we could probably build 300,000 square feet there in the future. We've got 22 acres at Titan Business Park in Regina which is a new one. That's a separate parcel of land that we're looking at doing something because the previous owner had some plans already in the works. So, we're kind of assuming those and looking at that to see if we can get a pre-lease done and a build for them, build-to-suit. So, we've got -- I'm just trying to see what else, 375 Exeter, we could probably expand that by 100,000 square feet. So, we're working on something there. And we've got some other opportunities where existing tenants have land and we may purchase that and do a new build for them. So, I expect over the next several years to be fairly active on that side of things.
Frederic Blondeau: But two projects in particular in 2022, I guess, would be your focus for now?
Kelly Hanczyk: Yeah. And hopefully, I mean, hopefully, the supply chain and the delivery of steel doesn't continue to delay things a lot. But steel is at a premium right now, and it's tough to get. So, whether it's this year or beginning of next year at some point, it depends on the process.
Frederic Blondeau: Perfect. Thank you.
Operator: Our next question is from Joanne Chen with BMO Capital Markets. Please go ahead.
Joanne Chen: Hey. Good morning. I guess, just on your lease maturities for this year, the 570,000 -- 580,000. How much of that is in industrial? And what sort of renewal spreads are you guys expecting to achieve?
Robert Chiasson: Thank you. The majority of that is industrial, roughly 400,000 square feet is industrial, and I'll let Kelly talk to the upside. But ...
Kelly Hanczyk: Yeah. And so, a lot of it is in London. So, call it, 350,000 square feet. And I think we'll see anywhere from $1 to $2.50 on -- depending on the space that we have. But keep in mind, in some of those, if it's on the smaller scale, that will probably have larger steps in rent maybe 7% to 10% per year to bring them up to speed. So that's positive leasing for us, because I don't think we'll have to spend any money, any GIs, or anything like that or any downtime even. So that's positive. And then, to be on -- that's the majority of the space. I'd say on the other side, I don't have it in front of me. So, Joanne, I'd have to get back to and take a look.
Joanne Chen: Okay. That's quite helpful. I guess, obviously, you guys are keeping very busy on the acquisitions front. So, I guess, you're still kind of focused on the same markets in 2022 as you did in 2021. And I guess, what sort of cap rates are you guys seeing in your target markets now?
Kelly Hanczyk: Yeah. So, I'd like to stay positive enough, but cap rates are driving down right across the board -- right across Canada. We'll be active in Edmonton. I think, Regina, Winnipeg, Calgary, Montreal, Southwestern Ontario, I think those are where our focus is. And I'm targeting in and around five caps is sort of where I've been seeing a lot of stuff. We've seen a lot of opportunity in the lower range in the four caps and low four cap and fours, and we've kind of been a bit selective now, and I'm trying to get those cap rates up a little bit above that things we're targeting or have some pretty decent rental rate increases for growth going forward. So, those are the markets we're still targeting. It's a little more challenging now. Although, I'd say that we do have a lot of discussions going on with a number of vendors, so it's still pretty active. So, I'm still looking at 2022 as a pretty strong acquisition year.
Joanne Chen: Okay. No. That's great. And you still have the opportunity to source off market deals as well, right? So, that's definitely an advantage.
Kelly Hanczyk: Yeah. And -- we also -- keep in mind, when we're talking liquidity, we do have a portfolio, right, for sale right now, that should free up additional liquidity for us, and we are looking at our existing portfolio and identifying non-core assets where we can sell those, sell out of them, maybe our earlier assets and redeploy that and continue to high grade the portfolio. So, it really is an evolution that we're continuing this year.
Joanne Chen: I guess, on that -- I guess, we should expect disposition activity to pick up quite a bit this year just given that firmer market for retail and I guess, office as well, right?
Kelly Hanczyk: Yeah. That's a good assumption.
Joanne Chen: Okay. And I guess on the cap -- one last one for me on the cap rate compression this quarter. Which market do you guys experience the strongest compression? Would it be, I guess, the strength of the London market?
Robert Chiasson: Yeah. So, I'd say London, certainly, we saw some compression. We saw compression really across Canada. I'd say maybe 0.25 point in Western Canada, Calgary, Edmonton and 0.25 to 0.5 in Southwestern Ontario, but we're really seeing it in all markets across the board.
Joanne Chen: Got it. Yeah. And the asset class to be in -- for sure, in industrial.
Robert Chiasson: Yeah.
Joanne Chen: Yeah. And congrats on the official name change, by the way. Yeah.
Robert Chiasson: Thank you.
Joanne Chen: Okay. That is it. That's been very helpful. That's it for me. I will turn it back. Thanks very much, guys.
Robert Chiasson: Thank you.
Operator: Our next question is from Mark Rothschild with Canaccord. Please go ahead.
Mark Rothschild: Thanks and good morning, guys. Following all this growth and acquisitions, which has been quite robust, maybe you could just expand on what are your thoughts are as far as the maintaining this pace of growth -- how important is it in the face of lower cap rates and tighter spreads. And to what extent is accretion on acquisitions important, more important going forward?
Kelly Hanczyk: I think, it's still important. We're striving to get bigger because as you get bigger, obviously, you can get included on some of the indexes which helps to drive your unit price, if we can continue to grow at a decent clip, eventually we get rated where we could issue our own debt, which puts us in a better competition for assets just from a cost of capital. So, overall, when we're looking now, we're sitting with liquidity, and I'm trying to find cap rates in and around the five caps. It's gotten pretty robust competition. And Edmonton and Calgary have picked up extremely in the last quarter, I'd say. So, the acquisitions we got, and the cap rates we got was very opportunistic because I think we got them at cap rates that are gone from those markets. So, we do have a bunch of off-market deals that we're trying to work on right now that would be nice cap rates, and I'm always trying to blend the two, right? So, when I talk about fourth quarter, the blended cap rate, some were lower, some were higher. And so, my overall target and what we've been able to do is over that five caps. So that's what we're still continuing to do because that's still fairly accretive for us going forward.
Mark Rothschild: Okay. Great. Thanks. That’s all for me.
Kelly Hanczyk: Thanks Mark.
Operator: Our next question is from Brad Sturges with Raymond James. Please go ahead.
Brad Sturges: Hi, there. Just to focus on your comments on the disposition side, obviously, you've got a process going for certain assets that you've talked about for a couple of quarters. Where would that put you in terms of timing of transactions? Would that be more Q2, Q3 for the majority of contemplated near-term transactions on the sell side right now?
Kelly Hanczyk: On the sell side, so the stuff that we're -- so there's a couple that are under due diligence that if everything goes fine, that would probably be -- what is it, March -- end of April. And then the others we are expecting should be out in the market and get big back end of the month after March break when everyone's back. So, those would probably be looking at a beginning of May. For those type of ones and then the big one in Victoriaville, that's the big one, which quite frankly, we were working on a big deal there and that's why it's taking a little bit longer because that's created value in that property. And then once we're complete on that and have it papered, we'll go-to-market. And that's larger and so that would probably be June type of closing on that asset, I would think. So that's kind of what we have scheduled right now.
Brad Sturges: And I guess that the guidance had been previously about $100 million this year in that near-term pipeline. Is that still the case in terms of expected proceeds?
Kelly Hanczyk: Yeah. On the near-term pipeline, yeah. We are advancing around a few others that we're internally discussing. So, the second half of the year, that can continue on. So -- but we haven't finalized anything there yet.
Brad Sturges: And just on that, I guess, within your commentary, you talked about looking at other non-core asset opportunities. It seemed to imply that, that was perhaps some industrial. Just talk about whether or not that's the case and how do you see maybe some capital rotation out of certain assets within the industrial side to help rotate into, I guess, higher quality or higher growth opportunities on that you're seeing in your acquisition pipeline?
Kelly Hanczyk: Yeah, For sure. So, let me preface it by we've absorbed a huge amount of square footage. And so, we're internally absorbing that and getting it all set up. And then now we're marketing and selling another batch. So that takes time. So, now we're looking at second half of the year what do we have coming up. So, we may -- there'll probably be another office asset or maybe two that we will look at later in the year and then some non-core sites that we have that were earlier transactions in our lifecycle back from 2014 and 2015 that are in more remote markets where we do recycle out of that capital and put it back into the Edmonton, Calgary, Montreal, GT -- Southwestern Ontario where we're seeing opportunities. So, I think, you'll see a little bit of that in second half of the year.
Brad Sturges: Okay. That's great. I'll turn back.
Kelly Hanczyk: Okay.
Operator: Our next question is from Kyle Stanley with Desjardins. Please go ahead.
Kyle Stanley: Thanks. Morning guys.
Kelly Hanczyk: Morning.
Kyle Stanley: Just sticking on the previous line of questioning. I'm just wondering, as you look to potentially exit some of those non-core assets in your legacy assets in tertiary markets, have you seen similar levels of cap rate compression from those assets as you maybe have in, call it, Edmonton or Calgary.
Kelly Hanczyk: No. I'd say right now, no. They're lagging behind. So, we really haven't touched those from valuation standpoint in our NAV. So, although -- and I say this loosely, the way things are going out there, it's possible. So, as we head into the second half of the year and if oil and gas continues to accelerate the way it is, it definitely could be a possibility. And so, we're definitely looking at some of them -- some of those tertiary markets in Alberta.
Kyle Stanley: Okay. Okay. That makes sense. Just looking at the Savage Road complex for a second, more of a modeling question, I guess. Would you expect the same level of income support now over the next first quarter and second quarter before anticipated completion and delivery in July?
Robert Chiasson: So, the income support is on the first phase, roughly 110,000 square foot where we have the rock climbing, the swim school and the soccer school. I think that will be turned over -- daycare coming on and others. I think that will be turned over to what Kelly and ...
Kelly Hanczyk: It should be relatively soon. I thought the daycare is a big chunk of space there and are just waiting for the occupancy permits, just the nature of their business, they have to have all things. I got it in [indiscernible]. So that will be turned over there. So that -- but that to us is effectively -- it doesn't affect our NOI, right? So …
Robert Chiasson: Well, it affects the geography of our NOI. So, I guess to answer your question on that 110,000 square feet, it's about $3.1 million between NOI and vendor rent support. And until that's complete, we will expect similar levels of vendor rent support. We would expect to be getting $3.1 million a year out of that building -- either by way of vendor rent support or NOI directly.
Kyle Stanley: Okay. Fair enough. And then just last one, sticking with the Savage Road property. Just wondering if there's any update on the 70,000 square foot expansion. And then just thinking about -- I think in the past, you've mentioned the potential for further intensification of the site, maybe looking at stacked industrial, but just kind of wondering if -- have your plans changed there at all? Or what are you thinking about longer term for that asset?
Kelly Hanczyk: Yeah. So, for me, the 70 -- it's actually about 74,000, I think will still go. I'm holding off a little bit, because I'm reluctant to start it right away while I'm going on the other side. I want to get closer to the possession of those two vacancies that we have. So, as we get closer to that, I'll make a decision to go forward. So that is still in our plans to go forward. I think once we complete that, we will look to probably stop and make a decision on the asset. Because when I look at the asset as a whole, it gives us a good opportunity. We have very little debt on it to -- perhaps in the future rollout of that asset and then redeploy that -- those proceeds right back into industrial assets. So -- but that's a decision that is to be down the line once we start and get closer to finishing on the addition.
Kyle Stanley: Okay.
Kelly Hanczyk: We'll have realized significant value at that point as well. So, that's when I'll make the decision there.
Kyle Stanley: Okay. Thanks guys. I will turn it back.
Operator: Our next question is from Matt Kornack with National Bank Financial. Please go ahead.
Matt Kornack: Good morning guys.
Kelly Hanczyk: Good morning.
Matt Kornack: On the disposition side with regards to the non-core assets, those -- there's no leasing pressure near-term maturities at those assets, they're good cash flowing properties. It's just a question of the geographies they are in. Is that fair?
Kelly Hanczyk: I would say most of them, yeah, are full. Actually, they're all full right now.
Robert Chiasson: I'd say aside from a smaller $10 million to $15 million office property in Brunswick, I'd say that, that's the case. They're well [indiscernible].
Matt Kornack: Okay. No. I'm thinking more on the industrial side. It's -- those properties, the higher cap rate would be potentially a function of just where they're located, not necessarily the tenants or the length of the lease term. Okay. Fair enough.
Robert Chiasson: Yeah. They are in remote locations.
Matt Kornack: And then on your disclosure with regards to the London lease step ups on renewals or new leasing, can you give a sense as to what that is on a percentage basis? And Kelly, did I hear you correctly that you're not taking it all sort of in the initial step, but you're going to spread it out through higher sort of annual rent steps throughout the course of the lease as well.
Kelly Hanczyk: Yeah. So, when we look at the portfolio, there's instances where we might see $2, $2.25, maybe $2.50 a foot. There are others that have a little bit more in the industrial space, but a little bit more office laden, so not as valuable space. So that might be in the lower range of the increases. But as it is the market as a whole is very, very tight, so the leasing is very strong. So, what we're looking at probably is a smaller increase because I'm balancing out, no downtime, no TI, no money spent. So, maybe on the first year, we take a slightly smaller lift and we get, I don't know, maybe 10% increases per year for the next four, five years. So, balancing it out to get us to the rate that we want probably by year two or three.
Robert Chiasson: I think as a percentage of expiring, we're probably looking at 30% to 40%. It's a bit of a challenging number to calculate quickly just because we're converting some gross leases to net leases, 30% to 40% of expiring rents, Kelly, would that be --?
Kelly Hanczyk: Yeah. Yeah.
Matt Kornack: And I guess taking it a bit further for London and maybe across the portfolio, is that your general view as to where the mark-to-market opportunity is for those locations? And then also maybe if you could kind of speak to the trajectory of market rents because presumably, those are increasing at a pretty steady pace as well.
Kelly Hanczyk: Yeah. London is increasing significantly. So, there is zero vacancy right now. So that's where we see our growth in the portfolio in the next couple of years because then there's some more that expire in 2023. So, overall in that portfolio we're pretty well under market rent. Now the entire portfolio across the board, I'm kind of reluctant to comment because things are changing rapidly in Calgary and Edmonton and it's happening quarter-over-quarter. So, I think it's just a little bit premature to comment because it is changing really fast.
Matt Kornack: And I'm not sure how your portfolio would have done last year there. But is the thought -- I mean it seems like occupancies are improving and rents, I mean that they were maybe down slightly for some of your peers, but the view is that, that's going to get back to flat and then start increasing in the near-term. Is that a fair characterization?
Kelly Hanczyk: Yeah. I think that's fair. That's what we're seeing as well. And then Regina, we're -- in Regina -- and I expect good things from Regina. There's going to be a mass -- we call it mass for Regina, but strong population growth there, strong industrial growth there, I think, from just the industries that are moving in. And so, that's going to be a fairly strong market going forward over the next several years, I think.
Matt Kornack: Okay. Perfect. Appreciate it. Congrats on the quarter, and thanks for those weighted average interest rates over the debt maturity profile.
Robert Chiasson: Thanks a lot Matt.
Kelly Hanczyk: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Hanczyk for any closing remarks.
Kelly Hanczyk: No, I just want to say thanks everybody for joining us, and then we'll hopefully have some really positive news next quarter and we would continue on. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.